Operator: Good morning, and welcome to the ProPetro Holding Corp Second Quarter 2021 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded.  I would now like to turn the conference over to Josh Jones, Director of Finance. Please go ahead.
Josh Jones: Thank you, and good morning. My name is Josh Jones, and I recently joined the company as Director of Finance. I’ll be handling Investor Relations going forward, and look forward to working with you, our investors, research analysts, and other stakeholders. We appreciate your participation in today’s call. With me today is Chairman and Chief Executive Officer, Phillip Gobe; President, Sam Sledge; Chief Financial Officer, David Schorlemer; and Chief Operating Officer, Adam Muñoz.  Yesterday afternoon, we released our earnings announcement for the second quarter of 2021. Please note that any comments we make on today’s call regarding projections, or our expectations for future events, are forward-looking statements covered by the Private Securities Litigation Reform Act. Forward-looking statements are subject to several risks and uncertainties, many of which are beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to review our earnings release and risk factors discussed in our filings with the SEC. Also, during today’s call, we will reference certain non-GAAP financial measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are included in our earnings release. Finally, after our prepared remarks, we will hold a question-and-answer session. With that, I would like to turn the call over to Phillip.
Phillip Gobe: Thank you Josh. Good morning, everyone. We were pleased with our second quarter operating and financial performance, which reflects our capital discipline and operating strategy. Our activity levels increased during the second quarter, resulting in a 34% increase in revenues, and a 78% increase in adjusted EBITDA performance. ProPetro continued to differentiate itself from its peers by generating solid margins and a return to positive free cash flow, while at the same time introducing ESG-friendly solutions to our product and service lines, which I'll discuss later. We are executing on our disciplined and focus strategy, and it shows. With steady improvement in the global economy and improving oil prices, North America oil service activity has continued to improve. We believe we're in the early stages of what appear to be a sustained upcycle in the oil field. Customers’ inquiries and urgency for services in the future, are expected to result in pumping supply tightness and inflationary pressures, some of which we have already experienced in the second and third quarters. We’ve been working on recovering pandemic price discounts put in place last year during the height of the oil price collapse resulting from the COVID-19 global economic shutdown. Our objective is to recover these discounts and to begin transitioning back to normalized financial performance, enhancing our ability to invest in innovative solutions, and improve profitability for our shareholders. Our pricing discussions with our customers, have been, and will continue to be, collaborative, to help both share in maximizing efficiency, and plan future deployments of innovative solutions.  I want to commend the ProPetro team for remaining nimble and quickly and effectively responding to our customers’ needs, while protecting our competitiveness and earning power. Operational efficiency and equipment readiness, remain key differentiators in oil field services, as customers focus on utilizing the highest quality crews, with the most reliable equipment available in the industry. Our proven track record of quickly and effectively responding to the needs of our customers in a mutually beneficial manner, continues to differentiate ProPetro in our industry.  During the second quarter, our best-in-class execution at the wellhead, was on full display, with continued high pump time productivity improvements. As we move forward, our team will remain focused on disciplined deployment of our assets, to ensure we only pursue profitable work. As we have discussed in the past, we will not activate additional crews without adequate pricing, long-term visibility to a consistent work schedule, and expectations of high efficiency targets, so as to deliver solid operating margins. This kind of discipline is critical to the success of our company and the oil field service industry as a whole. It's worth mentioning that visibility to the duration of the activity of our customers, is an integral part of our redeployment criteria, especially as we observed an improved spot market for frac services that carries increased pricing, soon to converge with dedicated arrangements. We like the dedicated fleet model, but we will continue to focus our efforts on working with customers that have a substantial presence in the Permian, and are looking to further expand their footprint of operations in the region.  We've continued to observe significant E&P consolidation and investment in the Permian, with transactions leading to multi-decade inventories of drilling locations for some of our customers, reinforcing our Permian focus. Additionally, as public companies remain disciplined in their development plans and budgets, private operators have led the recent recovery and drilling rig counts, certainly in the Permian basin. And we believe that will result in incremental demand in a marketplace that is experiencing significant attrition of functioning pressure pumping equipment.  We believe our focused and highly efficient standard of service is attractive to a variety of operators, and we are working every day to expand and broaden our customer base. We've grown up with our customers, some of which were much smaller than they are today, and knowing how to provide comprehensive, industry-leading completions efficiencies, is incredibly valuable to a growing oil and gas operator. We look forward to working with all of our customers as we progress forward.  With that, I'll turn the call over to David to discuss our second quarter financial performance and capital resources. David?
David Schorlemer: Thanks, Phillip, and good morning, everyone. We generated $217 million of revenue during the second quarter, a 34% increase from the $161 million of revenue generated in the first quarter. As Phillip mentioned, effective utilization was 13.1 fleets, which increased 27% from 10.3 fleets during the first quarter of 2021. We currently have 13 fleets working, two of which are simul-frac. Our guidance for third quarter average effective fleet utilization is 12.5 to 13.5 fleets, with visibility to an additional simul-frac fleet included in that range. Cost of services, excluding depreciation and amortization for the second quarter, was $163 million versus $123 million in the first quarter, with the increase driven by higher activity levels and inflationary impacts from other direct expenses. Supply chain disruptions contributed to cost increases, specifically trucking logistics costs, which saw a notable cost increase during the period related to more distributed sand mine pickup locations. Second quarter general and administrative expense of $18 million, decreased slightly from $20 million in the first quarter. We expect third quarter G&A to remain in this range. Depreciation was $33 million in the second quarter, which is consistent with the first quarter.  Our net loss for the second quarter was $9 million or an $0.08 loss per diluted share, compared to our first quarter net loss of $20 million, or a $0.20 loss per diluted share. The net loss this quarter improved significantly from the prior quarter, but continues to underscore the need for improved profitability in our sector. We need normalized pricing and profit sharing with our partners to invest in our labor force and equipment, and we are working to accomplish just that. Finally, adjusted EBITDA of $36 million for the second quarter, increased 78% sequentially, compared to $20 million for the first quarter. Adjusted EBITDA margins improved over 400 basis points, and we experienced 28% sequential incremental margins. The sequential increase was primarily attributable to a full quarter of contributions from fleet reactivations during the first quarter, along with more normal weather conditions.  Our team remains focused on capital discipline, which is an ongoing challenge, given current returns. We are currently balancing the need for capital spending on equipment and reinvestment into lower emission solutions, yet still have some work to do before we arrive at fleet level economics, consistent with our objectives for return on invested capital for new investments.  For the second quarter, we incurred $31 million of capital expenditures. CapEx for Tier IV DGB dual-fuel purchases and conversions, was approximately $10 million, and we continue to incorporate these units into our field operations. Actual cash used in investing activities, as shown on the statement of cash flows for capital expenditures in the second quarter, was $29 million, with positive free cash flow of $16 million. This figure differs from our incurred CapEx due to differences in timing of receipts and disbursements. To reiterate, we continue to expect to generate positive free cash flow for the full year 2021. And our outlook for full year CapEx spending remains $115 million to $130 million, including the previously announced approximately $37 million for Tier IV DGB dual-fuel equipment, with the remainder related to maintenance. Full year CapEx will likely be toward the upper end of the range should activity remain at current levels.  Sequentially, we increased our cash position and liquidity by $17 million and $27 million, respectively, with cash of $73 million and total liquidity of $141 million. Total availability on our asset-based revolving credit facility, increased to $68 million. The COVID-19 pandemic, which impacted our markets so severely last year, continues to impact global supply chains, and we are currently investing selectively in inventory to mitigate this risk.  As Phillip mentioned in his opening comments, the strength of our balance sheet and commitment to capital discipline is critical to our success, and we are firmly committed to ensuring we remain a solid - maintaining a solid financial position that provides maximum flexibility. With that, I'll turn the call back to Phillip. 
Phillip Gobe: Thank you, David. As we've mentioned on today's call, our customer activity levels have modestly increased, given the improved commodity price environment. As we navigate the COVID-19 Delta and potentially other variants, volatility will remain, but all price fundamentals appear strong for a continued recovery. While progress is expected to be gradual, we have already obtained some price increases, and we're expecting to secure increases from all of our customers before the end of the quarter. Permian remains uncertain, as we're still in the early innings of what we view as a multi-year recovery. In short, our customers recognize the clear benefit of our industry-leading service offerings, our entire sectors in the process of recovering pricing discounts implemented during the height of the COVID-19 pandemic. A return to normalized profitability is necessary for a healthy oil service capability, to answer the call for North American crude oil supply, as global demand is expected to continue to rise into the next year. In support of the needs of our blue chip customer base, committed to a substantial future operations in the Permian basin, we’re analyzing and investing in technologies to best position ProPetro for the impending energy transition. Discussions with our customers continue to progress in a positive direction, as they better understand how the operating landscape is expected to evolve in the years to come. We’re fully committed to evolving our equipment offering to be more environmentally friendly, and relevant to our customers’ demands, and remain convinced that pressure pumping equipment needs to evolve for the jobs of today and the future. Given our industry-leading execution, and strong financial footing, we believe we are in a leadership position to participate in this transition, which will benefit all of our stakeholders, including our shareholders. We know there will be changes from today's market conditions, but one constant will continue to be the need for innovation. As we discussed on our last call, with the downturn of 2020 now clearly transitioning to a recovery, we believe the impending reinvestment cycle, will further separate winners and losers in the US pressure pumping industry.  We believe that only the highest quality service providers, working with the most efficient operators, will be able to properly invest in next-generation lower emissions equipment. Our debt-free balance sheet, ample liquidity, and rigorous capital discipline, served us well through the unprecedented challenges our industry faced in 2020, and places us in an even stronger position for success, as the market continues to steadily improve well into 2022 and beyond.  Most importantly, commitment to safety is a primary responsibility we all share, and we utilize significant resources to ensure employees keep safety in mind in all that they do. Our teammates have grown to expect a strong safety culture, enthusiastic community involvement, and operational excellence when they come to work, and it shows in their performance on location, in the shop, and throughout our communities. I'm proud of the work they do every day.  Commitment to sustainability is another responsibility that our team undertakes for the benefit of our broader ProPetro family. We're making good on our commitments by investing in next-generation technology, and vigorously evaluating sustainable solutions for the benefit of all stakeholders. From our electric fleet and dual-fuel fleet investments, to our environmentally-friendly and innovative modified acid products, ProPetro is delivering innovative and ESG-friendly products and services to the marketplace, which is a value-added opportunity for all stakeholders. As we announced last week in our press release, we're completing our planned executive transition, that is the result of a thorough succession planning process. Effective August 31st, I will be stepping down as CEO, to become Executive Chairman. Sam will take over as CEO, and Adam will become President and COO.  I'd also like to recap a few accomplishments over the last 18 months. We worked with the board and our team to put in place strong corporate governance. We remained capital disciplined, generating positive free cash flow during a period of unprecedented industry decline during the COVID-19 pandemic. But I'm most proud of facilitating the transition and building of our go-forward leadership team. The continuity for our organization is strong, and I have great confidence in the entire team to lead our organization forward.  This will be my last quarterly call as CEO. And while it has been a challenging 18 months, this has been one of the most rewarding experiences of my career. ProPetro is a great organization, with outstanding and dedicated employees, and I value the relationships, and will remain very engaged in my role as Executive Chairman. Before we open it up to Q&A, I will hand it off Sam for some closing comments. Go ahead, Sam. 
Sam Sledge: Thanks, Phillip. Good morning, everyone, and a sincere thank you to Phillip for his leadership and guidance. Adam and I are very excited about working with you, the board, and our team, to continue ProPetro’s legacy of being a leader in our industry, and remaining customer-focused and team-driven. We're excited to utilize our unique market position and operational and financial performance to prepare the company for the future. We will continue to rely on the key attributes and strategies that have historically positioned our company as a through-cycle preferred oil field service provider in the Permian basin. This includes close collaboration with our customers to provide creative solutions that meet their current and long-term needs. And as Phillip mentioned, we have a number of innovative solutions to complement our leading operational performance.  Most important, we remain squarely focused on acquiring, developing, and retaining the best team in the industry. Our team-oriented culture is core to our DNA. Our ProPetro teammates have been and will continue to be the key to our current and future success.  With that, I'd like to turn the call over to the operator for Q&A. operator?
Operator: [Operator Instructions] And our first question will come from Ian Macpherson of Piper Sandler. Please go ahead.
Ian Macpherson: Thanks. Good morning, team. Phillip, thanks for your leadership and congratulations, Sam, and the rest of the team there on progressing the business forward. Within the context of this inflation everywhere phenomenon, it seems to me that you're all using Tier IV DGB upgrades as a price leader or lever. And I wonder if the inflationary pressures are affecting the CapEx for these Tier IV equipment upgrades. And if so, to what extent and what - how that translates for your pricing power, as you think about the next step of emissions-friendly upgrades on your fleet.
Sam Sledge: Ian, this is Sam. I'll take a shot at that. I'm not sure if it is a significant - if the Tier IV DGB equipment is a significant pricing lever right now, but we expect it to continue to be more of a lever moving forward. And given the timing at which we committed to the new builds and rebuilds or conversions that we did late actually in 2020, most of that pricing was locked in. I think there might be some inflation in those types of products moving forward, but nothing that we've experienced on what we've currently committed to and purchased thus far.
Ian Macpherson: Okay. Thanks, Sam. I was going to ask also, just thinking about the revenue progression into Q3, is it fair to assume that your Pioneer idle payments in the second quarter were pretty stable compared to the first quarter? If so, that would get us to kind of the 5% to 6% revenue per fleet increase in the second quarter, if that is correct. And then would that be kind of a ratable way to think about the progression for Q3 as well?
David Schorlemer: The idle fees were pretty immaterial in the second quarter. I think that it's going to be dependent on what happens in the second half, but not significant this quarter.
Ian Macpherson: Okay. So, that's - therefore, your second quarter revenue per fleet was up probably more like 7% to 8%, if the idle payments were lower on an adjusted basis.
David Schorlemer: That's right. The idle payments were lower in the second quarter.
Ian Macpherson: Okay, great. Thank you.
Operator: The next question comes from John Daniel of Daniel Energy Partners. Please go ahead.
John Daniel: Hey, guys. Thank you. Just two quick ones. First is housekeeping. David, on the loss on asset disposals, can you kind of walk us through what's in that this quarter?
David Schorlemer: Well, that's typically going to be related to any fluid end dispositions and other CapEx items that are related to components that are being swapped out, whether refurbishment or otherwise.
John Daniel: Do you have a ballpark?
David Schorlemer: Typically that’s given - what’s what? Go ahead.
John Daniel: Do you have a ballpark on what percent would be - I said, a ballpark percentage, just a guesstimate on what the fluid ends would be?
David Schorlemer: It's going to be 30% to 50% of that number typically.
John Daniel: Okay. Perfect. Okay. And then the last one, just a sort of big picture here, but given that your customers continue to push for ESG-friendly equipment, Sam, I don’t know if you can frame for us what a potential 2022 CapEx budget might look like, if you have to go all-in for these guys.
Sam Sledge: That's a great question, John. That's something that we're working hard through right now. I don't think we claim to have the exact answer to that. Could be likely that we continue this conversion program as we have units reach end of life and need to be rebuilt or refurbished in some form or fashion anyways, to spend the marginal dollar from a CapEx standpoint, to convert that unit into a more marketable piece of equipment, like a Tier IV DGB unit.  So those are things that we’re hard at running the analysis on today. But if the market continues to grow, if activity continues to grow, and the supply of equipment continues to tighten, our return profile improve, then it becomes easier and easier to justify making that move, and continuing to slowly, over time, convert our fleet into more gas-burning equipment.
John Daniel: I guess just a follow-up on that, and then I'll turn it over. The lead times right now on the dual-fuel Tier IV engines, how would you characterize that? And is there - do you feel a pressure to try to get in front of the line by placing orders now for those engines? And I'll turn it over
Sam Sledge: Yes. I don’t know if we feel pressure, but that's something that we're tracking very closely. We want to position our service offering and our asset base to be as competitive as possible. Supply chains are obviously tight and disrupted right now. So, it's something that we're tracking very closely with, so we can be as well-positioned as possible. 
David Schorlemer: John, I’d just add that given our financial position in terms of cash and balance sheet, that that's not the issue.
John Daniel: Yes. No, I know.
David Schorlemer: We’re in a position to do that if we choose to do so.
John Daniel: There’s an argument you should, right? Then I'll just leave it at that, given the balance sheet. Okay. Thanks, guys.
Operator: The next question comes from Stephen Gengaro of Stifel. Please go ahead. 
Stephen Gengaro: Thanks, and good morning, gentlemen. The - probably along the same lines, but I'm curious, when you're speaking with customers and you're looking at the dynamics of a deal, right, whether it's a contract or whether it's just a single well, what is the price discussion being driven by? And we keep hearing premium prices for low emission assets, but then I also hear pricing really hasn't moved very much. So, how do you think about the pricing structure between the two types of assets, and how do you think that evolves going forward?
Adam Muñoz: Yes, Stephen, this is Adam. I would just kind of just reiterate what we said in the script there. There was - we continue to have collaborative conversations with our customers. Those pricing discussions vary from customer to customer, just depending on activity and productivity that come from each of those. But I think whether it's our Tier II, legacy Tier II equipment, or new Tier IV DGB, or next-gen type equipment, those conversations are just around being able to make an economic return on those investments, and to continue to be able to reinvest, in not only our legacy Tier II equipment, but also next-gen equipment, depending on what the customer is requiring of us. 
Sam Sledge: I think the other thing to add, Stephen, this is Sam, is that what - the context that always exists in times like these, is that everyone in our space is coming from a little bit of a different relative position. We didn't go as low as most did last year with our prices. So, relatively speaking, it's - we don't have to move as much. And you can see that in our - in the earnings that we've printed over the last couple of quarters, that they're quite differentiated from a profitability perspective than most of our peers. And that is our disciplined approach to pricing and operating and collaborating with our customers. So, as Adam said, we have return goals that we're not meeting currently, and we're working to meet those goals, regardless of the assets that we're deploying for those individual customers.
Stephen Gengaro: So, as you go forward and you kind of guide to what looks like a relatively flat count in the next quarter, do you see that EBITDA per fleet number trending higher in the back half of the year, or do you think that's more of a 2022 event, where you get sort of more traction on pricing and less white space in the calendar, et cetera? Like, any guidance on how to think about that profitability per fleet number over both the short and the medium term?
David Schorlemer: Yes. Stephen, this is David. I think, first of all, we do talk about the pricing. Our expectations are that we're getting those changes already, and during this quarter. But we're not going to see the full effect of that until the following quarter, and then in 2022. So, I think that we would expect that the numbers would be going up as we get closer into 2022. 
Stephen Gengaro: Okay, great. Thanks for the color, gentlemen.
Operator: The next question comes from George O'Leary of TPH & Company. Please go ahead. 
George O'Leary: Good morning, guys. Completion efficiencies remain a big topic, both within OFS, but also just this quarter, as we listened to E&P conference calls. Clearly you all and other service companies are adding notable value to the oil patch and to your customers. I wondered if you could frame the magnitude of the completion efficiencies that E&Ps are highlighting under stages per day or hours worked per day framework. And then, what's kind of the go-forward plan for capturing some of that value that seems to largely be accruing to the customers who are talking about dividends and buybacks as the service companies are struggling to make margins. Can you just walk through that process?
David Schorlemer: George, this is David. I'll take a stab at that. I think our approach, and we talk about it in the script, is that we want to be collaborative. We do think that there have been significant completion efficiencies. One of the charts in our IR deck shows kind of the completion efficiencies improvement since 2019, over 58%. We’ve actually seen some of those numbers significantly higher in recent quarters, related to new innovations like simul-frac and other technologies and processes.  So, we think there's certainly an opportunity for some sharing there. We ultimately want to be able to reinvest in our fleet and continue to have a relevant product and service offering for our customers. And we're having collaborative discussions around that. So, definitely seen it, been in our performance in the field, and our customers have seen it. They've talked about it, and we think that there's a case to be made to share that with the service companies that provide some of that capability. 
Sam Sledge: Yes. George, this is Sam. I'll add to that just a little bit at a high level. It's pretty obvious over the last few years that the upstream E&P commercial model has changed very much so, more towards a capital discipline, return of capital to shareholders model. We have yet to benefit from that shift. In fact, it's almost been the inverse. We've seen our efficiencies go up and our economics go down, especially in the last year, where something like pumping hours per day is up in maybe an excess of 20% year-over-year in certain places with certain customers. So, I think it's time for us in our sector to start to readjust our own commercial model to benefit from those efficiencies more so than we have in the past, so that we can, with our customers, win together into the future, and allow them to continue to return capital where they think it's appropriate, and allow us to make an appropriate return on our assets.
Phillip Gobe: I'm just going to jump in while we're on this, George, for one other comment. This is where who your customer is, is so important. And we work for some very sophisticated, very talented group of customers. And for us, when we sit down and we talk pricing, it's very easy for us to just lay the numbers out in terms of the efficiencies they're gaining, pretty much at our expense, by more equipment, more people. And while their efficiencies goes up and their completed feet per day go up, our profitability goes down. And when you put the numbers to it and show it to them, they see it. They understand it. And I've got no doubt they're going to respond, and some have already responded, as we would have hoped. So, I think that the customer makes a big difference here.
George O'Leary: Great. That was a very robust answer from all three. Also, I appreciate that. Second question. Thinking about e-frac versus DGB Tier IV, what are you seeing from a customer preference perspective? And then, you all made a bet under the - I would call it less kind of prior ProPetro regime on the DuraStim technology. And it's taken a while to get that to fully commercial operations. Is there any desire on you all then to pursue a different e-frac offering, or is DuraStim kind of what you're going to stick with moving forward?
Sam Sledge: George, I think the short answer is yes to most all of what you just mentioned. We - prior to this equipment transition that's happening in our industry, we're very much of the uniform kind of southwest model of equipment. And in this transitory period, we've kind of accepted the fact that it's going to take a few different solutions to bridge towards what the equipment of tomorrow is going to be whenever the dust settles on what the better solutions are.  So, you've seen us invest in electric. You've seen us invest more recently in Tier IV DGB. We continue our leadership team, and many parts of our technical team continue to vet, analyze and diligence many options that are out there. And we don't - I don't think we found the silver bullet yet, but we like where our progress is, and very likely could employ another solution or two moving forward. We just don't know the answer yet as we sit here today. 
Phillip Gobe: Yes. And just to add to that, George I think what we have seen is, there's a very good customer base out there that is very interested in the Tier IV DGB, and burning gas in their operations is very useful to them and reduces their costs. And so, they see that as a very viable and supportive technology. There's others that are looking to also apply electric-powered solutions or other solutions. So, again, we're looking at a lot of the new innovative products that are being developed, and that's going to continue to progress over time, and we'll act accordingly.
George O'Leary: Awesome. Thanks for the color, guys. Best of luck, Phillip, and good luck to Sam and Adam in their new roles.
Operator: [Operator instructions]. And the next question will come Waqar Syed of ATB Capital Markets. Please go ahead.
Waqar Syed: Thank you for taking my question. My question is on cementing. Could you maybe talk about how many units you have right now working, and what was kind of the revenue growth rate for cementing? If you could talk about the outlook and then what portion of the revenues are currently coming from the cementing business. 
Sam Sledge: It was a pretty flat quarter. 
David Schorlemer: Yes. Syed, this is David. Cementing business, we are seeing improvements in that business quarter-over-quarter. I can't give you the specific number. It's a fairly small number relative to our total business, probably less than 4%, 5%. But we've definitely seen a continued progression of activity there and demand, and I think as the drilling rig count continues to increase, we could see some upside there as well. 
Waqar Syed: Okay. Then just if you could maybe provide us a breakdown of what's the total size of your fleet, like in terms of hydraulic horsepower, what is currently manned, and what proportion of your total fleet is Tier IV DGB?
David Schorlemer: Well, we have - are you talking about cementing only or total fleet?
Waqar Syed: No, just fracturing fleet. 
David Schorlemer: Yes. So our total - we have one point - in our investor relations deck, we show 1.4 million hydraulic horsepower total fleet capacity. We're hoping to have close to a quarter of our total capacity ESG-friendly, which would encompass not only our Tier IV DGB assets that we're adding to the fleet, which we list out on that deck, but also our DuraStim products. So, I can tell you, we've purchased and deployed 50,000 hydraulic horsepower new build Tier IV DGB. We’re converting another 40,000 horsepower that's in our IR deck on Page 7. And we're continuing to work with our DuraStim products to confirm exactly how we'll deploy that going forward.
Sam Sledge: And Waqar, on the manned and unmanned question, given how much equipment we've deployed to the existing fleets today, it's not quite as straightforward as it used to be when we’re running much closer to full utilization of our assets. So, I mean, we're manned for 13 fleets today. That's how many we’re operating. And we'll either ratchet up or down, according to activity in the near-term with how many assets we man. Try and keep that just in time as possible to be as efficient with our labor spend as possible. 
Waqar Syed: Sam, in terms of hiring new labor, is that - you've never had any issues, but is it becoming tighter or anything that you can elaborate on that front?
Adam Muñoz: Yes. Waqar, this is Adam. The labor - or hiring labor is always challenging in the service market and the industry. I think this is a little bit different scenario just being that all industries and segments of the economic world are hiring right now. So, you're fighting against probably a larger pool, but - a smaller pool of people, but a larger requirement. But we feel that we remain pretty competitive in that aspect, being that we're focusing solely on the Permian basin. And our employees and our dedicated fleet model, know where they're going to go to work week in, week out. The consistent fleet and the consistent schedule - work schedule, is a big plus that we fill on our side to help them be able to plan their business and just know where they're going to be when they're on shift costs. So, we feel that still gives us a very competitive advantage against most and helps us attract employees, especially around the Permian.
Waqar Syed: Thank you very much. Appreciate the answers.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Sam Sledge for any closing remarks.
Sam Sledge: Thanks, everyone, for joining us on today's call. We're very proud to play a part in an innovative energy industry, where hydrocarbons remain critical in everyday life across the globe. We hope to speak with you throughout the quarter, and look forward to speaking with you on our next quarterly earnings call. Have a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation, and you may now disconnect.